Operator: Good day, and welcome, ladies and gentlemen, to the Acacia Research 2019 Second Quarter Earnings Call. At this time, I would like to inform you that this conference is being recorded and that all participants are in a listen-only mode. I will now turn the conference over the Rob Fink. Please go ahead, sir.
Rob Fink: Thank you. Hosting the call today are Board Members, Al Tobia and Clifford Press. Before beginning, I would like to remind you that information provided during this call may contain forward-looking statements relating to current expectations, estimates, forecasts and projections about future events that are forward-looking as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements generally relate to the Company's plans, objectives and expectations for future operations and are based on the current estimates and projections, future results or trends. Actual results may differ materially from those projected as a result of certain risk factors and uncertainties. For a discussion of such risk factors and uncertainties, please see the risk factors described in Acacia's Annual Report on Form 10-K and Quarterly Reports on Form 10-Q filed with the SEC. In addition, during the call, the company will present non-GAAP financial measures. Please refer to our disclosures regarding the presentation of non-GAAP financial measures and other notes that were included in yesterday's earnings release as well as the 8-K filed with the SEC. I would like to remind everyone that a press release disclosing the Company's financial results was issued yesterday after the market closed. This release may be accessed on the Company's website at acaciaresearch.com under the News & Events tab. With all that said, I would now like to turn the call over to Al. Al, the call is yours.
Alfred Tobia: Thank you, Rob, and good morning, everyone. During the second quarter, Acacia's Board implemented a comprehensive set of governance reforms to complete the transformation that began at last year's Annual Shareholder Meeting. In preparing this initiative, we met with nearly all of our large shareholders, soliciting input on the company, which shaped Acacia strategy and drove the actions of the past year. Our shareholders expressed the view that the IP business is deeply dislocated, offering attractive potential returns for a well-capitalized company with a prudent asset allocation strategy. In response, our new Board of Directors made the strategic decision to invest in Acacia's IP business, rationalizing our cost structure and directing wasteful corporate spending to productive licensing assets. With solid capitalization, significant net operating loss carryforwards and a highly relevant Board that includes investors and professionals, we are uniquely positioned to pursue investments that are capable of producing absolute returns over the long term. We are also evaluating a number of opportunities where we have identified value in the public markets and can capitalize on them opportunistically with the money and skills now represented in Acacia. We have initiated a 5.1% position in Immersion Corporation. On August 1, we filed a Form 13D. In this filing, we stated that we purchased this position because we believe Immersion to be trading at a discount to intrinsic value owing to missteps and errors of strategy that can be corrected to realize the value of Immersion's assets. This investment is consistent with our absolute return strategy and provides us with significant optionality. We will keep our shareholders apprised of future actions here. Turning to the balance sheet. Specifically the other investments line, accounting rules require us to write off the investment in Miso Robotics given the company's financial position and current cash burn. They are currently pursuing strategic partnerships. I'd like to now turn the call over to Clifford for a review of our Q2 results and a discussion of our progress on our go-forward strategy.
Clifford Press: Thanks Al. Good morning, everyone. I'll provide an overview of the second quarter financial results, but more detail is available in the press release issued last night and also in the upcoming quarterly report on Form 10-Q, which we will file with the SEC. As a reminder, our focus is on growing Acacia's book value over time. Cash and short-term investments totaled $164.9 million at June 30, 2019 as compared to $165.5 million as of December 31 last year. Revenues for the second quarter were $5.5 million. On the August 5, Acacia's Board of Directors approved the buyback of up to 10 million in Acacia common stock over the next 12 months, which could be used, among other purposes, to offset dilution from equity-based incentive plans. For the full-year, we expect revenues of approximately $25 million and net cash from operations of around $5 million before investing about a budgeted $20 million in new IP. I'd now like to open the call for questions.
Operator: Thank you. [Operator Instructions] We'll take our first question from Mr. Brett Reiss from Janney. Please go ahead.
Brett Reiss: Hi, Al. Hi, Clifford.
Alfred Tobia: Hey, Brett.
Brett Reiss: Could you update us? Did we intake any patent portfolios this quarter? And how does the pipeline look the next couple of quarters?
Clifford Press: The pipeline looks good. This quarter, we actually only closed on around 600,000 of new intake, but we do expect that we will get to approximately $20 million by the end of the year. There's a fair amount of material that's currently in the view.
Brett Reiss: Okay. When we're selecting patent portfolios for intake, are we trying to find portfolios that the revenue flow will start at a quicker time line than the typical patent portfolios in the past?
Clifford Press: Brett, I'm not sure what you're considering the typical patent portfolio in the past, but we've made a decision not to buy anything simply because it fills a short-term revenue opportunity. We're looking at these portfolios strictly on the basis of the return available over the complete monetization of the assets. And in general, it takes at least a year to two years until we start to see licensing coming in as a rule, but it's all over the map.
Brett Reiss: Okay. Any movement on the pharma royalty business that you're looking to develop?
Alfred Tobia: Well, the pharma royalties are an IP opportunity that actually do represent current revenue and income just by the nature of them, and we are looking at those opportunities as well.
Brett Reiss: With respect to the 5%-plus position in Immersion, if you could wave a magic wand and get your maximum best wish on that, what would you like to see happen there? And just some more color. What attracts you to the Immersion situation?
Clifford Press: So Brett, we're a little bit constrained because now that we're public with our Form 13D filing, it would be difficult just to go beyond what was stated in the filing. But we made it clear that we felt it was a good asset. It's trading at a discount and represents an attractive value for us to buy at this stage. And we also said that there are probably some actions that the Board of the Company could take to correct the undervaluation. So I don't know if that's what you're thinking of in terms of the magic wand, but we would like to see them address that.
Brett Reiss: Great. One last one, what's our remaining position in Veritone both with the stock and the warrants?
Alfred Tobia: The warrant position remains the same as it was. That's unchanged. And the stock position were public on the 13D filings. So that's all disclosed publicly right now. There's no news there.
Brett Reiss: Okay. Thank you for taking my questions. I'll drop back in queue.
Operator: Thank you. [Operator Instructions] We're taking our next question from William Gibson from ROTH Capital Partners. Please go ahead.
William Gibson: Thank you. I'd like to follow-up a little bit on Brett's probing and just in regard to the type of IP you are looking for. With investment in a public company, it implies that you're thinking the return in a practicing entity could be better than non-practicing. What's sort of your sense of going for the IP because some of the NPEs have been hard to monetize?
Clifford Press: Yes. I don't think I understand the question. I don't think we're necessarily looking at it as an NPE versus a non-NPE situation. We actually think that issue is probably fading a little bit now. It's been dealt with. And in this case, it's – the Company that you're referring to Immersion, it's got some very solid assets. They're well tested. They've been litigated. The question there is how the asset is being monetized. It's no different than when we take in assets of the same nature and how we go about monetizing them.
Alfred Tobia: And just to add…
William Gibson: Yes.
Alfred Tobia: Look we just went to that. Remember, we have a $200 million plus NOL. So when you look at adding productive assets to the Company, we are – we have an efficient cost structure and we have an NOL.
William Gibson: Good point. Thank you.
Operator: It appears that there are no further questions at this moment. I will turn the conference back to the management for any closing or additional remarks.
Rob Fink: Thank you all for joining us today.
Operator: Ladies and gentlemen, this concludes your conference for today. Thank you for participating and have a nice day. All parties may now disconnect.